Operator: Greetings, and welcome to the Second Quarter Magellan Midstream Partners Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will have a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today, Thursday, August 1, 2019.And now it's my pleasure to turn the conference over to Mike Mears, Chief Executive Officer. Please go ahead.
Michael Mears: All right. Thank you. Good afternoon, and thank you for joining us today to discuss Magellan's second quarter financial results. Before we get started, I'll remind you that management will be making forward-looking statements as defined by the Securities and Exchange Commission.Such statements are based on our current judgments regarding the factors that could impact the future performance of Magellan, but actual outcomes could be materially different. You should review the risk factors and other information discussed in our filings with the SEC and form your own opinions about Magellan's future performance.We reported second quarter earnings this morning that continued Magellan’s track record of solid financial results with each of our business segments generating higher operating margin than the year ago period. In addition, after our usual normalization from mark-to-market commodity adjustments, we exceeded our EPU guidance by $0.07 per unit or 6%. This beat was primarily due to incremental revenue from our Texas crude oil pipelines as well as the favorable benefit from a higher commodity pricing environment.I'll now turn the call over to our CFO, Jeff Holeman to review Magellan’s second quarter financial results in more detail. Then I'll be back to discuss our latest outlook for 2019 and the status of our larger expansion projects before opening the call to your questions. Jeff?
Jeffrey Holeman: Thank you, Mike. During my comments today, I will be making references to certain non-GAAP financial metrics, including operating margin and distributable cash flow. We have included exhibits to our earnings release that reconcile these metrics to their nearest GAAP measure.Earlier this morning, we reported second quarter net income of $253.7 million or $1.11 per unit on a diluted basis compared to $214.4 million or $0.94 per diluted unit reported for the second quarter of 2018. Excluding the impact of mark-to-market activity in the current quarter, adjusted diluted earnings per unit was $1.20, which exceeded our guidance for the quarter of $1.13. Distributable cash flow for the quarter was $314.8 million, $48.2 million higher than the $266.6 million reported in the second quarter of 2018 driven by strong results in each of our operating segments.I will now discuss the performance of each of those segments, starting with our Refined product segments. Refined products generated $224.1 million of operating margin in the second quarter of 2019, an increase of $32.7 million over the 2018 period.Transportation and terminals revenue for the Refined product segment increased $15.2 million driven primarily by higher average transportation rates. Rates in the current quarter were favorably impacted by the tariff increase of 4.4% implemented in July of last year as well as by longer haul shipments on the Mid-Continent portion of our system and lower volumes on the South Texas portion.Volumes on the South Texas portion of our system move at rates much lower than our average tariff rate, so lower volumes of these shorter-haul movements cause our overall average tariff rate per barrel to increase. These lower volumes on the South Texas portion of our system, which as we have previously described as more of a supply push part of the system contributed to a decrease of about 1% in our overall Refined products volumes from second quarter 2018 as well as the fluctuations in our overall product mix as South Texas saw higher distillate in aviation volumes and lower gasoline volumes versus the prior year period.Excluding South Texas, Refined products demand across our system was relatively unchanged. We have received a number of questions asking whether we'd experienced an impact from the flooding that occurred in many of our markets during the second quarter. While we did experienced some declines in isolated markets, our commercial, operations and engineering teams were able to quickly develop solution to leverage the flexibility of our system to minimize the potential impact with the result that our overall revenues were essentially ineffective.Operating expenses for the Refined products segment increased $2.5 million between the periods due primarily to higher asset integrity spending in the 2019 quarter as well as lower product gain, which reduced operating expense. Product margin increased $23.3 million compared to the second quarter of 2018 primarily due to higher cash margins on our butane blending business as a result of both higher gasoline sales prices and lower butane costs in the current period.As Michael discuss in a moment, we continue to expect these higher margins to persist for the remainder of the year. Refined product equity earnings decreased approximately $4.1 million versus the second quarter of 2018, primarily due to mark – market losses on hedge positions in our Powder Springs joint venture.Moving now to our crude oil segment. Second quarter operating margin of $160.3 million was $8.3 million higher than second quarter of 2018. Crude oil transportation and terminals revenue increased by $17.6 million, a significant part of the increase between periods being driven by storage and dock fees associated with growing volumes at our Seabrook joint venture funnel, following the addition of export capabilities at the terminal in August of 2018.Our crude oil transportation volumes also increased in the current period with most of the increase resulting from significantly higher volumes and our Houston distribution system do in large part to the previously mentioned higher Seabrook activity.This significant increase in Houston distribution volumes, which moved at a lower rate in Longhorn shipments, was the primary driver of the decline in the average crude oil tariff rate we reported for our wholly-owned assets, also contributing to the decrease in average rate between periods with the lower average tariffs on our Longhorn pipeline system, as a result of contract renewals in October of last year.Volumes on Longhorn averaged approximately 275,000 barrels per day compared to a little over 270,000 barrels per day in the second quarter of 2018. As we saw continued demand for spot shipments on the Longhorn and the system ran essentially at or near capacity for the entire quarter. Thanks to excellent performance by our operations and engineering teams.You may recall that on last quarter's call, we noted our expectation. The market differential between Midland and Houston would remain above our spot tariff through the second quarter and increased our annualized Longhorn volume continuing to approximately 265,000 barrels.While differentials have continued to encourage spot shipments to-date, we expect differential scenario as additional takeaway capacity out of the Permian comes online. As a result, we are not currently forecasting spot shipments beyond the third quarter of this year, which would translate into throughput of approximately 270,000 barrels per day for 2019 as a whole.Crude oil segment operating expenses increased $6 million primarily as a result of higher fees paid to Seabrook for lease storage and dock services as well as higher maintenance expense related to our Corpus Christi splitter.Crude oil, other operating expense was $6.1 million in second quarter 2019, driven primarily by the unrealized mark-to-market valuation of a basis derivative agreement we recently entered into with the joint venture co-owner's affiliate. We entered this agreement contemporary and easily with that co-owner's affiliate entering into an intrastate transportation services agreement with the joint venture.The terms of this agreement provide for are making or receiving payments from the counterparty based on current crude oil differentials between West Texas and the Houston Gulf Coast. Mark-to-market valuation adjustments related to this agreement or excluded from our calculation of distributable cash flow.Crude oil equity earnings increased slightly between periods. Saddlehorn equity earnings were higher at Saddlehorn volumes, averaged approximately 145,000 barrels per day compared to approximately 65,000 barrels per day in the 2018 period.Primarily is result of higher uncommitted volumes from incentive tariffs and joint tariff arrangements as well as contractual step up and committed volumes to approximately 70,000 barrels per day in September of 2018.Seabrook equity earnings also increased, driven by the higher volumes at the facility noted previously. These increases will offset by lower BridgeTex volumes. Higher average BridgeTex volumes of approximately 425,000 barrels per day in the current period compared to approximately 390,000 barrels per day in the same period last year were offset by our lower ownership interest in between 2019 period.Consistent with our remarks regarding spot barrels on Longhorn, we now expect spot volumes to continue on BridgeTex through the end of the third quarter, which could result in an average annual volume per BridgeTex of about 400,000 barrels per day. This annualized figure like our annual average projection for Longhorn assumes that only committed volumes are shipped in the fourth quarter of this year.Finally, to wrap up the discussion of our performance by segment. Our Marine segment generated $30 million of operating margin in the current quarter, which is an increase of about $1.7 million over the 2018 period.Revenues were higher primarily due to the timing of maintenance work is pure thanks for out of service and this recent quarter. These higher revenues were partially offset by higher property tax or accruals in the current period. Equity and earnings for the segment were also slightly higher in second quarter of 2019 as the first phase of operations that are Pasadena joint venture terminals continue to ramp up.Moving out to other variances to last year's quarter. Depreciation, amortization and impairment expense increased $9 million compared to second quarter of 2018, largely due to the commencement of depreciation on assets recently placed into service. As well as higher asset write downs in the current period, including approximately $2.6 million related to the write-down of project development costs, which negatively impact DCF.G&A expense remained essentially flat in 2019 versus the same period in 2018. Net interest expense was $4.8 million in the current quarter, primarily due to lower debt outstanding and a lower average interest rate compared to the 2018 period. Our weighted average interest rate was approximately 4.6% during the second quarter and our average outstanding debt was $4.4 billion.At June 30, total long-term debt outstanding including $197 million of commercial paper borrowings was also approximately $4.4 billion. Gain on disposition of assets was $4.6 million higher than second quarter of 2019 as a result of the gain on the sale of an inactive terminal on our Refined products pipeline system. While other expense increased $4.7 million as a result of higher pension settlement costs during the current quarter.Moving briefly the balance sheet metrics and liquidity. Our leverage ratio for compliance purposes was approximately 2.3x at the end of the quarter. Excluding the impact of the game we realized on the sale of a portion of our interest in BridgeTex in the third quarter of 2018, our leverage ratio would be approximately 2.8x.Given that low leverage ratio, we continue to expect to be able to fund all of our current slate of growth projects with retained excess cash flow and debt. While staying well within our longstanding 4x leverage limit without the need to issue equity.In terms of liquidity, we continue to maintain our multi-year credit facility with capacity of $1 billion. We recently renewed this facility for a new five-year term and in addition added a 500 million, 364-day facility to ensure adequate flexibility and financing our growth programs.I will now turn the call back over to Mike to discuss our guidance for the balance of the year as well as given that date as some of our growth projects we are working on.
Michael Mears: Thanks Jeff. Based on another strong quarter of financial results in our improved outlook for the remainder of the year, we have once again increased our annual DCF guidance for 2019 by $40 million to $1.22 billion. As Jeff mentioned, the basis differential between Midland and Houston has remained above the spot rates for the Longhorn and BridgeTex pipelines and as a result our guidance now assumes uncommitted shipments we'll continue on both of these pipeline systems through the third quarter.As a reminder, we estimate that the benefit from these uncommitted shipments is about $20 million per quarter based on the spot rates for both Longhorn and BridgeTex. As we've mentioned before, we continue to develop crude oil marketing and incentive tariff strategies to maintain uncommitted shipments on our pipeline systems as the basis differential narrows.The current commodity environment is also expected to be a positive for Magellan, especially in light of the depressed butane prices that favorably benefit our butane blending activities. We have been actively locking in pricing for the coming fall blending season with about 70% of that expected margin hedge at this point, at more favorable pricing that was expected earlier this year. As a result, we now expect blending margins to average around $0.55 per gallon for the full-year compared to $0.50 previously.Looking further ahead, we are starting to make progress on hedges for our spring 2020 blending season as well. We are currently seeing margins around $0.60 per gallon with about 70% of the spring 2020 margin hedged. With our new DCF guidance of $1.22 billion for 2019 in our stated goal of increasing annual distributions by 5% this year. We expect to generate a very healthy coverage ratio of 1.3x with almost $300 million of excess cash flow generated to reinvest in our business.Moving onto expansion capital, we are nearing completion on a number of significant construction projects. They expanded dock capabilities at our Galena Park marine terminal are now operational with five docks for a combined 750,000 barrels per day of capacity now available.This project took a bit longer than initially expected due to ship channel disruptions and underwater instructions, but we are pleased to bring the new dock capacity online to provide additional flexibility for our customers at this critical and very busy facility. We are nearing the completion or East Houston-to-Hearne pipeline and remain on target to begin operations at the end of this month. For this new Refined products pipe segment.In addition, Phase II of our new Pasadena joint venture marine terminal is nearing completion, within additional 4 million barrels of storage and supporting dock and pipeline infrastructure expected to be in service by the end of 2019.Additional storage and export capabilities at Seabrook are progressing and expected to be operational in early 2020 and pipeline construction is now underway for our West Texas Refined products pipeline expansion and new Midland terminal which are both expected to begin service in mid-2020.So as you can tell, we are making excellent progress on these expansion projects that will enhance our service offerings and benefit our future growth. Further, we recently announced expansion of the Saddlehorn pipeline. With the corresponding open season closing yesterday.Based on the initial commitments received, we are moving ahead with a 60,000 barrel per day expansion at this time. However, customers committing volumes through this open season process have the option to increase their commitment levels in the near future, which may warrant the full expansion up to a 100,000 barrels per day of incremental capacity.The expanded capacity will be achieved by a combination of incremental pumping and storage capabilities with the higher capacity available in late 2020. Each phase of the expansion costs approximately $50 million to Saddlehorn and we would expect to pay our proportionate share of that full amount.Based on the progress of expansion projects underway, we currently expect to spend $1.1 billion in 2019 with an additional $150 million in 2020 to complete these projects. You may have noticed that these spending estimates are unchanged from last quarter as lower spending estimates on various projects due to capital efficiencies are offset by the new spending for the first phase of the Saddlehorn expansion and other smaller capital project additions.Beyond these capital projects, we continue to act actively work a long list of potential expansion opportunities still totaling well in excess of $500 million. These potential projects include expansion opportunities in each of our business segments, including the proposed Voyager crude oil pipeline for which the open season continues to the end of August.Specific to Voyager, we ever see the number of questions on the likelihood of it moving forward with other announced pipeline projects in the space. What I can say is that the industry has been fully aware of all the potential pipelines that we’re being proposed throughout our development process and we remained in active discussions with a number of parties who are still very interested in considering our project.We believe we have an attractive service offering and we will continue to develop this project either as a standalone opportunity or as a part of a more capital efficient solution that we are discussing with a third party. And even though the Voyager project has been more public due to the pending open season, I can assure you that we are actively pursuing a number of other attractive projects across all of our business units at target returns in our standard 6x to 8x EBITDA multiple range.That now concludes our prepared comments. So operator, we're now ready to open the call for questions.
Operator: Thank you very much. [Operator Instructions] And our first question is from Jeremy Tonet with JP Morgan. Please go ahead.
Jeremy Tonet: Hi, good afternoon.
Michael Mears: Hi, there.
Jeremy Tonet: I just wanted to start off with the cap structure here and leverage it seems like it's really decreasing here falling under 3x. I was wondering if you could just update us on a bit more – your thoughts with regards to spending on growth capital versus potentially share buybacks – unit buybacks kind of how all that plays together and also given kind of the elevated prices that private equity seems to be paying for Midstream assets versus what the public markets are valuing that, if that factors into your equation at all?
Jeffrey Holeman: This is Jeff. I'll address the first part of that question regarding cap structure and then Mike will address the second part of the question regarding private equity. As I mentioned, leverage will be closer up to the 3x, once the temporary effect of the BridgeTex gain rolls off, which will be the next quarter. So that will naturally get a little bit higher and our primary focus in terms of the cap structure is continuing to find good returning projects to finance, with the balance sheet capacity that we have and that is our focus at this time, and there's really no change in that.
Michael Mears: And with regards to your question on private equity market valuations and obviously they based on some recent transactions indicate that they, in some cases, are higher than what public valuations are, I can tell you that we routinely evaluate and analyze our entire portfolio to optimize it and we take that into consideration when we do that analysis. I don't have anything specific to address with regards to that. But if we do, we'll let you know. But we routinely make those evaluations and determinations.
Jeremy Tonet: That's helpful. Thank you. Turning to the Crude oil segment, I believe there was a $6.1 million other expense related to mark-to-market adjustments associated with the basis derivative agreement with the JV co-owner. I was just wondering if you could expand a bit more as far as what activity is going on there? How large are the volumes?
Michael Mears: Well, I can tell you that, I probably don't want to disclose, much more than what was in our public statements, we have entered into an agreement with an affiliate, a co-owner of one of our joint venture pipelines to share in the margins – the shipping margins associated with shipments on that pipeline. I think that's all we're prepared to say about that contract. I think we are disclosing the volume or we will disclose it in our Q. The volume is 30,000 barrels a day under that contract. That's probably all the details I'm prepared to go into on the contract at this point.
Jeremy Tonet: Okay. That's helpful. That's it for me. Thanks.
Operator: And the next question is from Tristan Richardson with SunTrust. Please go ahead.
Tristan Richardson: Good afternoon. Just curious could you offer an update on the $500 million of expansion opportunities and to what extent it could appear in 2020? Just thinking about the large portfolio of projects weighted towards 2019, is it reasonable to think 2020 CapEx maybe lower than 2019 levels even with the opportunities you guys see in front of you?
Michael Mears: Well, I'll tell you that there is a wide range of diversity of projects we're pursuing across all of our business units and some of those projects are more advanced in discussions, some of them are less advanced in discussions, they're not all of the same size, and in some cases, smaller projects say in $100 million range, can be just as accretive as larger projects based on the quality of the project.That being said, I'm not really prepared to give any projections as to how many of those will get contracted in the next six months that will roll into 2020 spending. And I don't think it would be fair for me to determine whether or not that's going to be higher or lower than what our spending is for this year. I can tell you that the number is large on the number of projects we're developing and we would love to get those as contracted and start working on those as fast as we can.But I'm not really going to make a prediction on how quickly that can happen or really what the success probability is of each one of those. But I think it's important that you understand that those projects are substantial. And just for many reasons, we don't want to get into the details of all of them before they actually transpire.
Tristan Richardson: Fair enough. And then just follow-up on the $150 million in 2020, that includes only phase one of Saddlehorn, in that, $50 million phase one was entirely offset by capital efficiency elsewhere on other projects. Did I get that right?
Michael Mears: Yes. That's correct. But to be clear, it's our share of that $50 million that we don't – we're a partial owner in Saddlehorn at this point, we're a 40% owner in Saddlehorn, and so our capital portion of that is 40% of $50 million.
Tristan Richardson: Right, perfect. Thank you guys very much.
Operator: And our next question is from Shneur Gershuni with UBS. Please go ahead.
Shneur Gershuni: Hi, good afternoon, guys. And maybe just to clarify, Jeremy's first question a little bit here. Are you able to comment about the press reports with respect to Longhorn potentially being shopped? Is there a data room open? Is that in fact accurate? Just any color that you can give on that.
Michael Mears: I cannot comment on those reports. I mean I will reiterate what I've said before, which is we evaluate all of our assets as to – with a mind towards optimizing our portfolio. As you recall, last year, we sold a portion of BridgeTex which I think was a clear optimization effort on our part. And we do – and we evaluate really all of our assets routinely. I can't comment on that report specifically.
Shneur Gershuni: Okay. You can't even confirm if there's a data room open?
Michael Mears: No.
Shneur Gershuni: Okay. I'm just moving onto some questions about order, and some trends. I was wondering if you can talk about both butane blending as well as the spot shipments trends. Butane blending has been fairly strong this year. You talked about in the favorable environment already for hedging for next year and so forth.Is it just a function of that the environment is ripe and at some point it normalizes and goes away or are you running your business a little better? And then secondly, on the spot volumes, do you ultimately expect the spot volumes to come down once new capacity comes out of the Permian from competing pipes.Just kind of curious why, do you expect there to be an opportunity for spot volumes in 4Q, and 1Q as those pipes come on or should we think about those spot volumes has been opportunistic this year and go away.
Michael Mears: All right, a lot of questions there. Let me try to get through them. If I miss one at the end, just remind me. But, with regards to butane blending, first of all, I will say we constantly worked to optimize our blending and we've made incremental improvements over time to improve the volume of butane. We can blend into our gasoline pool. So that's a constant process and we make incremental strides in that every year.But in reality with regards to what's happening in the current market, that's not the driver. The driver is the differential between butane and gasoline, which fluctuates obviously, and they're both driven by different drivers. They both have separate supply and demand markets, which drive their pricing. And so that that margin fluctuates. We are in a period of time where the margin has expanded versus where it was a year-ago or two years ago and we're benefiting with that.Margins right now are substantially lower than they have been. If you go back a number of years ago, so that number bounces around quite a bit. So I'm not going to predict what they're going to be beyond the second quarter of next year because, we're not in the business of commodity price projections, but they are on an upward trend and the primary driver on that has been a reduction in butane pricing. And so we like the pricing that we're seeing now and so we're locking that in as much as we can.On the spot margins or the spot movements on our Texas pipelines, clearly the differentials are expected to drop and narrow over the course of the remainder of this year, and then remain at lower levels next year with a new pipeline capacity coming online.I can tell you that in our forecast, we have assumed no spot volumes. That doesn't mean we're accepting that. As I mentioned, we have a number of things underway to continue to have volumes fill the spot space at lower differentials in the fourth quarter and beyond. We have just not put that into our forecast at this point for 2019.
Shneur Gershuni: Okay. And one final question if I may just kind of a follow-up to which Tristan was talking about. So I mean, you're basically saying the $150 million of CapEx for 2020 is basically the completion of what you've FID'ed at this point right now, but you've sort of talked about that you're working on several different projects and so forth. I kind of fear setting an expectation too low in terms of consensus CapEx for 2020.Do you have some sort of magnitude of kind of where you think at a bare minimum 2020 will shake out from its spends if you sort of like risk adjust it which ones get across finish line or not? I mean, are we talking about something that's down 50% from this year, because right now, obviously you're down a lot more than that, just kind of wondering if you can give any sort of color around it to avoid setting expectations differently?
Michael Mears: Well, let me start by saying that 2019 is a record capital year for us. And so you're benchmarking or looking forward guidance on 2020 versus a record capital year. So I'll just highlight that distinction before I answer the question. We're not unfortunately I'm not going to be able to give you a direct answer. I mean, we tend to be conservative with regards to projecting what projects we're going to actually be successful in reaching FID and which ones were not.And even though we have a number of projects under development as I mentioned earlier, I think there's real danger for us to try to predict how many of those are actually going to be successful and what the capital number could be next year. I can tell you the range is big.I mean, I'm not going to say that some of those may delay and we don't get them approved until early in 2020 and the capital number for 2020 doesn't grow as much as we might hope. But then again, it might, and we can have a good number in 2020. We just hesitate to make predictions with regards to that.
Shneur Gershuni: All right, perfect. Thank you very much guys. Really appreciate the color today.
Operator: The next question is from Dennis Coleman, Merrill Lynch. Please go ahead.
Dennis Coleman: Yes, thanks for taking my question. Good afternoon, everyone. My question, I guess if I can start, one or the other ways that you single out and really the question is because you singled it out in the press release, can you talk a little bit about M&A opportunities on the buy side? What you see there? And is that part of sort of this big range that you're talking about when you're answering these questions about CapEx?
Michael Mears: We're always active in the M&A market and we participate in just about every process that hits the market, that's in our space. As you know, we've not been successful just based on valuation over the past few years. And from our perspective, that's not a bad thing. When the price gets too high, I think there is great discipline to walk away and not run the risk of actually destroying equity value by overpaying for assets in our view. That being said, when I talk about our backlog of projects, it does not include any M&A. Everything that I've been referencing is with regards to organic development.
Dennis Coleman: Okay. And again, maybe just to take another swing trying to get a bit of a gauge on size. I mean, in terms of the backlog, as you think about it and look at it today, Mike, is it still as big as it was two years ago? I mean, does it compare to sort of prior year opportunity set?
Michael Mears: Yes.
Dennis Coleman: Okay. Thanks. That's all I have.
Operator: [Operator Instructions] Our next question is from Keith Stanley with Wolfe Research. Go ahead.
Keith Stanley: Hi, good afternoon. I was wondering if you give an update on interest in Corpus export facility at Harbor Island. Just any color on where things are with that?
Michael Mears: Well, to be clear with regards to the project that we were developing independently a Corpus Island. That project is much further down on our development list. We're not actively working on an independent project at Harbor Island. That being said, we are evaluating a number of opportunities in Corpus Christi that would fall under the backlog of projects that I mentioned earlier. But those opportunities mostly are – would be working with other third-parties rather than developing a standalone facility.
Keith Stanley: Okay. And separate question, you mentioned in your prepared remarks that on voyager you were talking to a third-party about a more capital efficient option as one of the alternatives. Can you say specifically if that's fill ups with the Red Oak pipeline or if it's another third-party that you might be talking to about capital efficient solutions?
Michael Mears: I can't comment on who that is. But we think that there's a real potential with this third-party to make something work. But I can't comment at this point as to who that is.
Keith Stanley: Okay. Thank you.
Operator: And gentlemen, those are all the questions we have for the moment. I will turn the call back over to Mr. Mears.
Michael Mears: Great. Well, those are all great questions. I appreciate everyone's time and interest in Magellan and have a good afternoon.
Operator: And that does conclude our conference call for today. We thank you for your participation. Everyone have a great rest of your day. You may disconnect your line.